Operator: Thank you for standing by and welcome to the Enovix Corporation Fourth Quarter 2024 Earnings Conference Call. Currently, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. As a reminder, today's program will be recorded. And now I would like to introduce your host for today's program, Robert Lahey, Head of Investor Relations. Please go ahead, sir.
Robert Lahey: Thank you. Hello, everyone, and welcome to the Enovix Corporation's Fourth Quarter and Full Year 2024 Financial Results Conference Call. With us today are President and Chief Executive Officer, Dr. Raj Talluri; Chief Accounting Officer, Kristina Truong; and Chief Operating Officer, Ajay Marathe. Raj and Kristina will provide an overview, and then we'll take your questions. After the Q&A session, we'll conclude our call. Before we continue, let me kindly remind you that we released our fourth quarter 2024 shareholder letter after the market closed today. It's available on our website at ir.enovix.com. A replay of this video call will be available later today on the Investor Relations page of our website. Please note that the shareholder letter, press release and this conference call all contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are based on current expectations and may differ materially from actual future events or results due to a variety of factors. For a discussion of those factors that could affect our future financial results and business, please refer to the disclosure in today's shareholder letter and our filings with the Securities and Exchange Commission. All of our statements are made as of today, February 19th, 2025, based on information currently available to us. We can give no assurance that these statements will prove to be correct and we do not intend and undertake no duty to update these statements except as required by law. During this call, we will also discuss non-GAAP financial measures, which are not prepared in accordance with the generally accepted accounting principles. You can find a reconciliation of the GAAP financial measures to non-GAAP financial measures in our shareholder letter, which is posted on the Investor Relations page of our website. I'll now turn the call over to Raj to begin. Raj?
Raj Talluri: Thank you, Rob, and thanks to everybody for joining us today. For our format today, I'm going to start with a recap of our recent results and some of our recent milestones, before I turn it over to Kristina for financials and outlook. I'll have a few closing comments and then we'll take your questions. We had a very proactive 2024, especially Q4. To recap our recent achievements. First, our revenues in the fourth quarter were $9.6 million, near the high end of our guidance range. For the year 2024, total revenues were $23.1 million, up from $7.6 million in 2023. Second, we completed our top manufacturing and product objectives for the quarter by completing Site Acceptance Testing of our High-Volume Manufacturing line and shipping our first samples of EX-2M to customers. Third, we shipped early engineering samples to our lead smartphone OEM with the results confirming the critical safety tests are all passing. Additionally, we received the cell dimensions as a continuation of the agreement we made with them. These dimensions are actually of the cell that they expect to be shipping in 2025. Now we are on track now for commercial smartphone launches in 2025, pending successful completion of the customer qualification. Fourth, in line with the agreement we announced in June 2024, we also delivered our first battery packs of our first custom cells from Malaysia with packs built in our Korea facility. In addition, we secured a purchase order from a custom battery from a second marquee smart eyeware customer. The ramp of Fab2 in Malaysia in 2024 stands out as a pivotal accomplishment for the company. We managed to complete SAT of our HVM line, in just one year after our first tools arrived. Yields are now well beyond the final levels we achieved in Fab1. And we have incremental targets in place throughout the year and we believe -- that we believe will readiness for smartphone mass production in the fourth quarter of '25. We now have multiple customer audits going on, serving as a strong testament to our manufacturing readiness and our customers' interest in using our products. While we remain focused on smartphones, we're also prioritizing segments where major battery constraints or supply chain requirements are creating a strong competitive advantage for our technology. Recently, smart eyewear emerged as one of these segments and we're now in the process of developing custom cells for marquee customers in this space. Another market that recently emerged as a unique growth opportunity for us is the defense industry, where we recognized a significant portion of our 2024 revenues with conventional graphite battery products. Since the US elections last November, we observed an increase in inbound interest from drone manufacturers and defense suppliers seeking battery solutions that comply with allied country supply chain requirements. Earlier this year, we secured a sample purchase order from one of these suppliers for autonomous AI systems. While these developments are still evolving, we are optimistic about the potential upside from these. And on the product front, it's also been a very productive 2024 and Q4 for us. We successfully completed testing of EX-1M and performance results indicate that we are on track to meet targets of energy density, cycle life and fast charging. For EX-2M, we delivered early engineering samples to OEMs across both smartphone and IoT markets and we received positive feedback that the EX-2M energy density is meeting customer targets. And looking ahead, we have officially kicked off the design phase of EX-3M, incorporating feedback from our lead OEMs to ensure alignment with their evolving requirements. Now with that, I'll turn it over to Kristina for the financials. Kristina?
Kristina Truong: Thank you, Raj. All the relevant financials are in our quarterly report and our shareholder letter. So I will speak from a high level and then provide outlook. We delivered Q4 2024 revenue of $9.7 million, above the midpoint of our guidance. Non-GAAP EBITDA came in at a loss of $11.7 million, above our guidance of a loss of $19 million to $25 million. And our non-GAAP EPS came in at a loss of $0.11, also above our guidance of a loss of $0.15 to $0.21. We ended the quarter with roughly $273 million of cash and cash equivalents. CapEx in Q4 was $16.4 million and cash used in operation totaled $16 million. Our balance sheet is strong, giving us a runway for option and optionality for funding additional HVM lines. Now for our guidance. For the first quarter of 2025, we forecast revenue of $3.5 million to $5.5 million, an adjusted EBITDA loss of $21 million to $27 million and a non-GAAP EPS loss of $0.15 to $0.21. Now, I'll turn back to Raj for close. Raj?
Raj Talluri: Well, thanks, Kristina. As we can see, 2024 was a big year for us. We made significant strides by launching new High-Volume Manufacturing line in Malaysia, with custom battery cells already shipping from the Agility Line and High-Volume production slated for 2025. We also focus on building strong customer demand across key markets, including smartphone and IoT OEMs, while we continue to drive innovation and operational excellence. With that, we can go to the questions. Operator?
Operator: We will now begin the Q&A session. Please note that this call is being recorded. Before we go to live questions, we're going to read the two most highly voted questions submitted by shareholders ahead of this call during the call registration. The first question is, regarding policies and tariffs implemented by the new administration, what are the potential implications for Enovix's current and future business operations and prospects?
Raj Talluri: Yes. Thank you for the question. As I mentioned in the prepared remarks, we are actually getting increased interest since last November for our batteries from defense and other industrial customers in the US. As a reminder, our factories are actually in Korea and also in Malaysia, which is actually very favorable to shipping batteries into the US. So it's been a -- we don't see much effect on the tariffs at this point.
Operator: And the second question is, can you lay out the current guidance for adding lines? What is the current capacity? When will you begin ordering equipment? And how long will it take to install any additional lines?
Raj Talluri: Yes. I'll take a shot at the question and I'll have Ajay add more color to it. Firstly, we are super excited that we completed the SAT of our High-Volume Manufacturing line. The factory we have in Malaysia, we have the ability to add up to four lines there and we put in one line and that's the one we completed SAT on. In terms of current capacity, I'll let Ajay comment and then I'll talk about how to add additional lines.
Ajay Marathe: Thanks, Raj. Good question. The current Line 1, Gen2 Line 1, which is installed in our Malaysia fab is running and was bought off in SAT at 1,350 UPH, just as a reminder, which is equivalent of roughly 9.5 million to 10 million batteries a year. Now this is fed by what we call farms in Zone 1, which is dicing and Zone 4, which is testing. Now we are adding capacity to Zone 1 as we see the indications from the market as to how much volume do we need to support. So that's where the capacity lies. And the way we are looking at adding lines is basically long lead time items, such as various different items in the line, which are on the, used as control systems on the manufacturing line. We are ordering and keeping them as inventory at our suppliers. So this makes us, gives us the ability to shrink the timeline as to when we can add second, third, fourth clients. So that's how we are looking at this capacity.
Raj Talluri: Yes. Thank you, Ajay. Nothing else to add.
Operator: We will now go to the queue. [Operator Instructions] Our first question will come from Jed Dorsheimer with William Blair. Your line is open. Please go ahead.
Jed Dorsheimer: Hi, thanks. Congrats on the quarter and thanks for taking my question. I guess first one, just the drone purchase order, I'm curious, just trying to get a better understanding of the growth profile of this customer. I think you mentioned it's $1 billion, that they're doing $1 billion in revenue. And I think if memory serves, they just hit that. So I just want to make sure that that customer is kind of on that S-curve of inflection. Am I thinking about that customer in the right way? And maybe you can comment on, is the defense is coming in better-than-expected? How you're thinking about that? And then I have a follow-up too.
Raj Talluri: Yes. We can't really comment on which customer. But one thing I can tell you is, we are seeing a lot of interest for the batteries that we are making in our Korea facility because they are high-rate batteries and they're very good for these kind of applications where you need the fast discharge and high-rate of discharge. And the market is growing. It's hard to put an exact number on it. It's early stage in terms of qualification, but hopefully as the qualifications go through, we'll be able to add more color on how we see the business going. But we are getting multiple inquiries for those batteries from different customers now in the US.
Jed Dorsheimer: Great. And then just as my follow-up, just pivoting to the commercial smartphone, you're now starting to build a backlog of that customer base. I was wondering if you could just rank order the cell phone customers in terms of the pipeline and the commercialization stage, if you could just remind us of that? Thanks.
Raj Talluri: Yes. I mean, we had mentioned that we have sampled seven of the top eight customers and another one just placed an order for samples from us, clearly showing interest is building up in our products and what we can build. We talked about two agreements that we have with two customers and they're both progressing. One of them, we actually received the, after passing the milestones and last time I talked about getting a payment for the milestones, we now got a very important miles, next milestone, which is, we got the exact dimensions of the battery that will be in the phone this year. So that is a huge step because now we understand exactly what it is. Just to remind the viewers, what we sampled was a standard battery that we made here of a standard size. But now we got dimensions of the battery and this is north of 7,000 milliamp hours, so sizable battery. But again the space is still constrained in the phone. So our energy density clearly adds a value there. And next stage is we expect that to get qualified with our technology in their phone. And we expect to get other custom cells from the following customers in that order. And again, this one particular battery that we are making for this customer, it could go into multiple models. Typically, these batteries go into multiple models within the segment of the market. So super excited by the progress we're making. It's study and gradual and thought through.
Operator: Our next question will come from Ananda Baruah with Loop Capital. Please go ahead.
Ananda Baruah: Hey, guys. Yes, thanks for taking the question. Really appreciate it. I guess Raj and Ajay this is sort of sticking right there. Can you remind us for EX-2M and you mentioned Raj EX-3M. Two things, like number one, like the capabilities of each model? And then when do you think each of those models like get into the marketplace and get to volume? And anything you can say about the volume that each of those can bring to the company would be awesome. Thanks.
Raj Talluri: Yes. The way to think about this is, we've made a choice of different anodes and cathodes and electrolytes and so on, which is our first EX-1M product, where we got requirements for the customers and we sample them. We are now getting feedback from them on, we like this part, we want you to increase this part, we want you to kind of trade-off of and I've said this before, trade-off of energy density versus fast charge, versus cycle life, versus temperature performance and so on. We are now optimizing that to meet the customer requirements. Meanwhile, we make a step forward in choosing a newer set of materials that give increased energy density, and that's the EX-2M. And then we make more advances in terms of both materials and also our architecture in terms of reducing the amount of inactive materials so that we can get more energy density and that's the EX-3M, which we just started. In terms of volumes, it's difficult to comment on volumes at this stage because it will depend upon which customers go to production first, how many models we get designed into, how quickly we can ramp that. And that I think towards the later part of the year, we'll be able to comment more because at this stage, they're all in different stage of qualification. And we have visibility into one of the models, but there's a lot more behind that. So it just takes time to be able to answer that question more precisely.
Ananda Baruah: Okay, that's awesome. And I guess just as a follow-up, just Ajay, just make sure we fully understand the context around sort of the four lines. Is it Line 1, you mentioned 9.5 million to 10 million. Is there anything implied in your description of that, that the 9.5 million to 10 million can get filled in a sort of reasonable amount of time and then you're sort of speaking to the expansion of the lines, then you said you're sort of your ramp lines as things progress or is it you can do sort of 9.5 million, 10 million to start per line? I think you'll probably tweak that up from there just with efficiency gains. But even inside of that line is sort of, as things progress, is that also wrapped into the Line 1 as well? Just context around that. Thanks.
Ajay Marathe: Absolutely. Thanks, Ananda. Yes, the Line 1 as just a reminder is what we call the universal line. So it is a line which is capable of running equally efficiently the smaller cells, which we are also feeding into the AR/VR market. I think Raj alluded to that in his prepared remarks, as well as the large cell which we are now working on, custom cell, which is more than 7,000 milliamp hours. So it can handle all of it. The capacity kind of remains the same. Line 2, 3, 4, when we would order that all depends on the customer qualification cycles, as Raj also said. And whatever improvements we do, actually the focus from Line 2 to 4 is going to be optimizing the line for also CapEx spend per line as well as the speed. And we will do the learnings and backward make it backward compatible to also the Line 1. So universally, we can ship and make and ship from any of the four lines that Raj talked about.
Raj Talluri: Yes. One other thing I don't know, maybe just to remind you, as Ajay mentioned, when we built the first line, we built what is called a universal line, which can go from very small batteries to much bigger batteries. That's a more expensive line, but gives us the flexibility because we're not sure exactly where the demand would be when we built that line. As we get more and more visibility into like these kind of custom cells, we can optimize our lines more to that size cells and not have so much flexibility in it, which optimize the cost of the line, which increase the throughput of the line, so which is kind of like a natural evolution of how you do manufacturing as you understand the product demand better. We optimize it for both cost and speed, right? And that's kind of how this is going to go.
Ananda Baruah: Thank you, guys. Appreciate that.
Operator: Our next question will come from Colin Rusch with Oppenheimer. Please go ahead.
Colin Rusch: Thanks so much, guys. Getting to a 7,000 milliamp hour cell, it seems like a bit of an acceleration on some of the roadmaps. Can you talk a little bit about how quickly those specs are changing? And how you're seeing that translate into potential pricing appreciation for the company?
Raj Talluri: Yes. I mean it's a really good question, Colin. I mean, I mentioned, I think maybe probably think like 2023, when I mentioned, we are seeing a lot of AI coming to the edge that will drive a lot higher demand for battery because those applications consume a lot of energy. And I'm pleased to say that that's coming through today. What is happening now is the GenAI applications consume so much battery and every app and there's so many apps now running on the phone that consume that, that the customers are having to put higher and higher capacity batteries, much higher than we expected, 7,000 plus that we saw today that we are working on. I see that getting even larger over time. And clearly is a good tailwind for us in ASP because when you have to deliver that kind of capacity on a limited form factor because the phone can't get bigger, which means energy density is what drives that and we get a premium for energy density. So this is a good tailwind for us in terms of both ASP premium and margin expansion as these trends continue.
Colin Rusch: That's super helpful. And then I guess my follow-up here is really about the competitive landscape. Obviously, there's been a lot of capital invested in materials and along with different electrolytes and rebalancing different sales structures. I'm just curious how quickly you're seeing competitors move and how intense that environment is for you guys as you go through this qualification process with all of these smartphone makers.
Raj Talluri: Yes. Our competition continues to be incumbent graphite batteries, which have kind of doped the graphite with some amount of silicon. I think we mentioned we saw 5% to 10%. But in a big cell like 7,000 milliamp hours kind of range, if you put more than that, we are seeing that the swelling is, it becomes too much. So you can't really keep doing that. Our constraint and our innovative architecture, we use 100% active silicon. And as far as I know, we are the only ones that who are able to put 100% active silicon, and this is validated by our customers and also validated by the people who supply these silicon material. They do -- they're excited to work with us because we're able to use 100% of their material. So it's a competitive advantage we have with our architectural approach and I hope to get these into product soon.
Colin Rusch: Thanks, guys.
Operator: Our next question will come from Bill Peterson with JPMorgan. Please unmute and ask your question.
William Peterson: Yes. Hi, thanks for taking the questions, and recognizing your focus on smartphones and maybe some of these emerging IoT applications, but I wanted to come back to this defense opportunity. Can you speak more on the format or the size of the batteries? And I guess, how much can the Korean sites support in terms of, I don't know whether it be megawatts or revenue? Just trying to get a sense for how fast you can grow into this market. And I guess if it were to be of interest, how fast could you expand your capacity?
Raj Talluri: Yes. We have capacity now in our Korean factory to support some of these for now. And we have space available nearby and we can expand that and build more capacity. I mean, the good news is that, as these things start getting qualified, we get visibility into what this demand could be like in next year because it takes a year or so to get these things really qualified into production. And as we start getting into quals in these opportunities, we will and we can expand in our facility there. It's a very nice site, it's in Nonsan, and we have opportunity to grow there. So we are excited by that.
William Peterson: Yes, thanks for that. And you had in your press release about the EV, you're advancing development agreements with the two customers. I had a sense that like that would have already been done. So I guess what areas remain to be resolved, I guess, before anything official happens? And I guess maybe to that point, has any of the joint development work happened thus far? I know these are long dated, but are there any key milestones we should be looking for this year or is the work really going to begin in earnest in 2026 and beyond?
Raj Talluri: No, absolutely. I mean, work is ongoing. I mean, we have some, we are able to now get the materials from these EV makers and we have them in our Malaysia factory because as you remember, we shut the factory down here. Originally, we were thinking of doing some of that work here, but we moved it all to Malaysia and Ajay was able to create some space there because these are different materials. They were to be handled a little differently. So we have an area there where we are doing the EV work. And we're now able to dice that material and we are working on making those into cells to prove out the advantage of our architecture even in the EV space. So stay tuned for that. I think this year, we should have some updates on that.
William Peterson: Thanks, Raj.
Operator: Our next question will come from George Gianarikas with Canaccord. Please go ahead.
George Gianarikas: Hey, good afternoon, everyone. Thank you for taking my questions. I just had a question about the smart glasses business. I think you mentioned in your press release that you expect commercial shipments to commence midyear. And in 2024, you had a couple of press releases, one that mentioned a California company where you had an AR/VR, I think mixed headset. And another one in December, that was another potential customer with a similar sort of device. So can we confirm that this commercial purchase order is for one of those two companies?
Raj Talluri: Yes, these are for actually from both the companies, we have purchase orders. And in fact, I do have the cell here if I was going to show this to you guys since we are on video. This is actually the cell that we made that goes into the legs like that and super exciting. You see in our investor letter, we are able to not only make this cell, but we are able to package it with the battery management and so on into a pack in our Korea facility and we were able to deliver that to the customer. So it's a tremendous progress from the time we got the purchase order to actually get some early samples out from our new factory. So and the results look really good. And like I said, we're going to continue to make that. And I'm kind of bullish on this market as a market that has a lot of potential in the out years, particularly because of the user interface problem has been really solved well with GenAI. You can speak to these devices. It's always clunky how to interact with a pair of glasses before. That problem I think is resolved pretty well. And also, I was at this AR conference, I think last month or earlier this month, you could see the advances made in the waveguide optics and the brightness of the projectors and the miniaturization. I've been in this space since I was at Qualcomm, I don't maybe a decade ago. But it looks like a lot of progress here. So we are pretty optimistic about that. And also the cells we make are a huge advantage because there is not that much space to put batteries in these glasses and the applications demand a lot of performance from the battery to go for an all-day use. That's the reason we are seeing tremendous interest on our technology in this space. It will take some time to get to multiple tens of millions, but it's a good place to start.
George Gianarikas: Thank you. And also on manufacturing, since the last time we spoke, you've completed your Site Acceptance Test and you expect to begin production in earnest in the fourth quarter this year for smartphones, at some point this year for the devices you just mentioned. What are the bottlenecks to being confident from here that you can scale that production? Obviously, you've been, I'm assuming tinkering with some of the lines. And so I'm curious as to what has to be solved between now and then to really gain confidence that you can make these, the batteries in the millions? Thank you.
Raj Talluri: I'll take a quick shot at it and then I'll let Ajay speak. We are very pleased with the progress that Ajay and his team has made. We see cells coming out, we're shipping them to the customer and now the factory is going through ISO audit, which will be a big step, when it's done in the next few months. I think really the work now is producing this at volume and scale and getting the UPH and yields up. I guess maybe Ajay can comment some more.
Ajay Marathe: Yes. Absolutely, Raj. So, yes, the proof points obviously are yields and how fast can we ramp on this line. The line is qualified. There is really no technological bottleneck, if you will. We are doing this with different material sets. As Raj pointed out, EX-1M, EX-2M at the same time, depending on what the customers are needing in terms of performance, which one is more important for them versus the other. And therefore working with all these materials and getting the yields higher, continuously learning and getting into the ramp mode. And, yes, we are well on our way for the ramp to happen in the second half, which is exactly when we are expecting some of these things to come to fruition in terms of customer qualifications.
Raj Talluri: And maybe one other thing I'll add is, as we see this demand now, these are for slightly different shaped cells. So big cell of certain form factor, a small cell like this. So some of the work Ajay's team is doing is how to get the cycle time down so we can quickly make different cells on the same machine, but what's the tooling to be done. That's going to be something that we'll continue to work on.
Operator: Our next question will come from Derek Soderberg with Cantor. Please go ahead.
Derek Soderberg: Yes. Hey, guys. Thanks for taking the questions. Raj, did you say that you had two purchase orders from AR companies? I know the first one, you guys said you're going to commence shipments midway through this year. Is the second one for a commercially planned device or was that for sample orders? And then just given the density benefit that you can deliver with these AR devices, what's the average selling price you think you can get for this form factor?
Raj Talluri: Yes. Yes, we do have purchase orders from both the customers. And again we are in the process of getting the exact dimensions and making those exact dimensions because they're both slightly different in shape. The ASP premiums are actually very nice in this market because of the -- how much of a -- how important the battery is to the life of the products. I mean, you probably see in the investor deck, we put some material on the advantages of our product versus what's commercially shipping. So you can see that, that translates to a nice ASP premium. I can't exactly comment on the numbers, but we are quite pleased with that business. And the other thing is our ability to make full packs, I mentioned this when we acquired the Routejade company that this is going to be important to us and because when you make a full pack, there's also an ASP premium of instead of just selling the cell. That is something that also is playing out nicely, which is the reason I think I mentioned at the time why we acquired that company. One of the reasons in addition to the coating capability.
Derek Soderberg: I think that's helpful. And then just related to one of the first questions. When you guys want to add, say, High-Volume Line number 2, can you talk about sort of in months how long it would take to procure and install kind of that second HPM Line 2? It feels like the demand for some of these AR devices could be coming in pretty soon here. How fast could you order a second High-Volume line and turn it on?
Raj Talluri: So before we answer that, let me tell you this, the demand will come in next year, right? So again we will make some cells and give it to them, but the qualification timeline takes the timeline it takes. So it's kind of important to understand we are talking about '26 demand now and we will plan capacity accordingly and Ajay is doing that.
Ajay Marathe: Yes, just to add to that, as I mentioned earlier, right, we are taking the approach of taking all the long lead time items because not all the components that make up the line have the same amount of lead times. So there are some longer lead time items, which we have told working with our suppliers, we have started stockpiling them at their place on their dime. But they're taking a risk on us, which is really good way of handling of how quickly you can set up this Line number 2 and then Line number 3. And so we are trying to always look for ways of shrinking that timeline. The first one took whatever time it took. The second one will be significantly lesser. And our ability to quickly ramp that into the production is also going to improve over time.
Derek Soderberg: Got it. Thanks, guys.
Operator: Our next question will come from Gus Richard with Northland Capital Markets.
Gus Richard: Yes, thanks for taking my questions. Just real quick on the production coming out of Qualcomm. It sounds like it's tailored to military applications in high rate. And I'm just curious, is it more of a standard lithium-ion battery or what sort of sets it apart for the military applications?
Raj Talluri: Yeah. So the Routejade acquisition that we made is standard lithium-ion battery, except it's a high discharge rate battery. So for example think about something that powers moving things like drones and so on. So when you have a mechanical object that's moving, you need to distribute at a much higher rate and that's one of the things they can do, this part of company can do for us. And they can also do different shape and size cells that can go into some of the consumer electronics. So they have two, three different variations of products that we can do there. The military ones are high rate big cells.
Gus Richard: Got it. Very helpful. And then just on Line 1, you said that the UPH is 1,350. That's I believe an instantaneous throughput. Can you talk about capacity utilization with just one line you can't commit that volume to your customers. How should we think about the utilization in the first year until Line 2 comes up and you can bring that up?
Ajay Marathe: Yes. Good question. That will depend on how the -- how quickly the qualification cycles are running through with several customers now in play. And, I mean, a good manufacturing company would look at it in terms of how much are you filling the line up so that you can start ordering those longer lead time items first, followed by the other components to make up the line. So it's all a gradual feedback directly coming from our customers' qualifications actually. So that's where I would leave it.
Gus Richard: Got it. Thanks so much.
Operator: Our next question will come from Sean Milligan with Janney. Please go ahead.
Sean Milligan: Hey, Raj. Thanks for taking my questions. Can you talk to like CapEx outlook for this year as it stands today? What do you expect CapEx to be? And then sort of underlying assumptions there in terms of how many lines are you ordering long lead time items for?
Raj Talluri: Yes. We don't really give the full guidance for the year, but maybe, Kristina, if you want to comment on that a little bit.
Kristina Truong: So as Raj said, a lot of the long lead time items are ordered by our equipment vendors and on their dime due to relationship and whatnot. But for our 2025 CapEx, we have about between $30 million to $40 million currently budgeted.
Sean Milligan: Okay. And then Ajay, on the next line, like Line 2, do those economics fit the slide deck, the 1,650 UPH that's in the back of the slide deck, is that sort of the expectation on the next lines?
Ajay Marathe: Yes, that's correct. The UPH is always measured in equivalent of a cell size. So as Raj alluded, we are now obviously getting cell sizes, which are significantly larger, which is really good for the value that we bring and the ASP and everything attached to that. But, yes, 1,650 is the goal for ADR low-sized cell, which we have talked about. So it will vary based on which size cells it goes through the line.
Sean Milligan: Okay. And then Raj I know still qualifying some of those early samples with the cellphone customers. But there's a slide in your presentation that talks about the top cellphone OEMs, the average model size is around 3.5 million units per year. Just curious like in the two that you're in advanced stages with, do you have visibility into the potential models that you'd be in? And just curious if those programs are expected to be like below at above that kind of average model size that's mentioned in that slide?
Raj Talluri: Yes. So one of them, like I said, we actually got the specific cell dimension so we have a little bit more visibility into where it would possibly go. But one thing to remember is that, in the Android market that we're going after initially, each cellphone model, when you talk about a model, the model has a certain, how shall I say, features for you, if you will, certain camera, certain display, certain process, certain memory configuration and so on. But there are variants within that. For example, the customers may choose to take that model, change some software features and ship that into India for example. And maybe change a few other things, ship that into Europe. And maybe some other features and ship that into Gulf. So we don't have clarity yet on which exactly product we will be in. And that will come in time as we get closer to production and that's typical. And I've done this many, many years. That's quite typical on how it works. So that clarity will come closer to production time.
Sean Milligan: Okay. And then just one last one. Can you remind everyone like how the sales cycle works for cellphones? So like you start to get in qualification kind of early in the year and that's for commercial volumes that shipped later in the year. Is that sort of the same thought process for 2026 also or because you're sampling more cells in 2025, would you be in earlier programs in 2026? I'm just trying to understand maybe cadence in terms of seasonality.
Raj Talluri: Yes. So good question. So just for, I mean, since I get this question quite a bit, I'll just talk one more time about how this works. We typically work with the customers to get from them requirements on what this particular product and the launch timing is. Like, for example, in 2024, we talk to them about what's the kind of phone model that would launch in late 2025 and we get requirements in terms of cycle life, energy density, in terms of size, in terms of fast charge capability and so on. At the same time, they give us these requirements. They're also working on what process they should pick, how much memory should it have, what display they're using, what camera they should use, and we give them a certain standard size cell, the cell that we've made internally. They test them and then they extrapolate from that what that performance will look like and what performance they need when they fix all the other components in the phone, right? And then they give us the exact dimensions of the cell, which is what we just got now. And then we make that cell and we give it to them and then they test it along with all the other components which are now frozen. And if everything passes and everything looks good, then they give us a purchase order to make multiple volume production of that cell. Now that one particular cell could now go into multiple models in '25 and in '26 too. So it's not like it's only stops at '25. Because like I mentioned, there could be different phone models that can be launched in different parts of the world. And that could continue through '26, for example. And then when they start thinking about what's going to launch in '26, if there are some changes to that cell, they'll give us those and we start working on them. So this is going to be a continuum, if you will. It's not like we make this cell, it goes '25 done, we make another cell, it goes '26 done. It doesn't work like that. It's usually a continuum, there'll be some overlap between the phone launches based on the regions they're launching, based on the volume they're launching. That's typically how this works.
Sean Milligan: All right. Great. Thank you.
Operator: [Operator Instructions] There are no further questions at this time. With that, I'd like to turn it over to Dr. Raj Talluri for closing remarks.
Raj Talluri: Yes, thank you very much for your interest and following us. We'll get back to you next quarter. Thank you.